Operator: Greetings. Welcome to the ASGN Inc. First Quarter 2024 Earnings Call. [Operator Instructions]. I will now turn the conference over to your host, Kimberly Esterkin, Vice President of Investor Relations. You may begin. 
Kimberly Esterkin: Good afternoon. Thank you for joining us today for ASGN's First Quarter 2024 Conference Call. With me are Ted Hanson, Chief Executive Officer; Rand Blazer, President; and Marie Perry, Chief Financial Officer. Before we get started, I would like to remind everyone that our commentary contains forward-looking statements. Although we believe these statements are reasonable, they are subject to risks and uncertainties, and as such, our actual results could differ materially from those statements. Certain of these risks and uncertainties are described in today's press release and in our SEC filings.  We do not assume any obligation to update statements made on this call. For your convenience, our prepared remarks and supplemental materials can be found in the Investor Relations section of our website at investors.asgn.com. Please also note that on this call, we will be referencing certain non-GAAP measures, such as adjusted EBITDA, adjusted net income and free cash flow. These non-GAAP measures are intended to supplement the comparable GAAP measures. Reconciliations between GAAP and non-GAAP measures are included in today's press release.  I will now turn the call over to Ted Hansen, Chief Executive Officer 
Theodore Hanson: Thank you, Kim, and thank you for joining ASGN's First Quarter 2024 Earnings Call. ASGN solid results for the first quarter. Revenues of $1.05 billion and adjusted EBITDA of $10.3 million were both near the top end of our guidance range. When we spoke last quarter, we expected our Commercial segment with fee revenue trends in Q1 comparable to that of Q4, while our Federal government segment would continue to achieve year-over-year top line growth. It's evident from our segment results, which I'll review in detail shortly, market conditions were isle predicted. Our commercial clients continue to be cautious and acutely focused on where and when they will spend. Importantly, despite IT budgets being slow to be executed, our clients continue to leverage our high-end consulting capabilities, so our commercial consulting revenues increased both year-over-year and sequentially.   On the government side of our business, revenues improved year-over-year and visibility began to build towards the end of the quarter with the passage of the appropriations bill in late March. While a release and Federal spend will not happen automatically, the approval of the budget is a step in the right direction. Speaking of moving in the right direction, we continue to proactively shape and evolve our operations to position our business for continued growth. Our industry diverse, large account portfolio not only served us well in good times, but also a more difficult macro condition. Our Federal government services provided cyclical support to balance out our 5 diverse commercial industry verticals. We are also focusing on the right type of services that of higher value, higher-margin IT consulting, where projects and visibility are longer and client relationships are stickier, providing our business with enhanced stability across market cycles.  The highlight of our quarterly results, IT consulting revenues comprised approximately 57% of Q1 2024 revenues as compared to roughly 50% in the prior year period. In addition, adjusted EBITDA benefits from higher commercial consulting margin. ASGN has made great strides in growing our IT consulting business. And with the vast addressable market, there are many more opportunities for further growth. This growth will be driven in part by continuing to develop and foster the right customer relationships with the Fortune 1000 and government clients. Our long-standing trusted client relationships are what drove our progression into IT consulting, and these clients will continue to pull us up the IT services pyramid. Importantly, as we await increased spending, we are making the right investments in our people, training and upskilling our teams in the latest technological developments, including key areas such as cybersecurity, data analytics, cloud and AI, all with our customers' need to mine.  Technology is shifting at a rapid pace, and it is essential that we stay ahead of this change to remain competitive. We are also executing on the right strategic decisions when it comes to our capital allocation. While Marie will discuss our recent Term Loan B refinancing shortly, I am pleased to announce that just this week, our Board of Directors approved a new 2-year $750 million share repurchase authorization. This authorization is the largest in ASGN's history, reflecting our commitment to deliver value to our stockholders by using our solid free cash flow to buy back shares while at the same time ensuring that we remain ready to execute on the right strategic acquisitions. With that as a background, let's turn to our segment performance beginning with our largest segment by revenue commercial.  Our Commercial segment services large mid-market accounts and Fortune 1000 companies. Commercial segment revenues for the quarter declined by low double digits year-over-year. Revenues for this segment benefited from the growth in our consulting business, offset by continued softness in the more cyclical areas of our assignment business. Commercial Consulting revenues increased 2% for the quarter compared to the year ago period, and we were also up 3.2% sequentially. Commercial consulting bookings of approximately $323.2 million translated to a book-to-bill of 1.2x on a trailing 12-month basis. Bookings were again weighted towards renewals in the first quarter. That said, even as IT budgets continue to be prioritized and managed, our customers are actively spending in the areas of cybersecurity, cloud and data analytics. Investments in cloud and data infrastructure are often considered a precursor to investments in the AI space, and we are actively working with our clients to solidify their AI foundations.  Turning to our vertical performance, all 5 commercial industry verticals declined year-over-year. That said, we saw year-over-year growth in 3 sub verticals, including Utilities, Health Care providers and Telecom Account. On a sequential basis, 2 verticals: TMT, business and government services appear to be stabilizing on a same billable day adjusted basis. We also saw sequential growth in several subverticals on a same billable day adjusted basis, including regional banks, telecom, media, health care payers, energy, consumer staples and aerospace and defense count. While it's encouraging to see these sequential improvements, we have not yet seen an inflection point in IT spending. Nevertheless, our commercial consulting bookings remained solid. And during the first quarter, our teams won work across multiple service areas. Cybersecurity continues to be an area of growth for our commercial segment. And as discussed last quarter, collaboration with our Federal government segment on cybersecurity services has only added to this strength.  During the quarter, we won a contract delivering technical remediation and advisory services to a Fortune 500 insurance client. Our comprehensive governance, risk and compliance solutions helped our clients mature their security operations and become an improved governance and oversight focused organization. Beyond cybersecurity, our product and application services are resonating with clients that are looking for opportunities to scale and become more efficient. One way we've delivered efficiency to clients is be our world-class nearshore delivery center in Mexico. In the first quarter, a global leader in medical transportation approached our commercial team following difficulties they were having with their current offshore provider. Our Mexico delivery that are stepped in to offer a team of experts from developers to testers to have extensive experience working together in a much more convenient time then for our clients.  Our nearshore consultants are not only impressing our client base, but they are also enjoying the projects they are performing and their work environment. In fact, I'm very pleased to report that earlier this month, our commercial segment brand Apex Systems was recognized as one of the best places to work for women in Mexico for the second year in a row, providing an inclusive multicultural environment is core to ASGN belief systems and corporate policies, and this award is a testament to our continued commitment to career development for all. Along the lines of career development, our growing data and AI practice is being supported by internal investments in talent, technology partnerships, intellectual property and training. We are proactively training our workforce in the U.S. and Mexico in the latest GenAI technology. For one of the world's largest telecommunications providers, for example, our AI skill sets enabled us to win a 12-month consulting engagement supporting a GenAI application development program.  We are providing our client with scalable access to talent, technical leadership and large language model training. In another instance, for an oil and gas company that ranks amongst the top 10 of the Fortune 500, we are leading an implementation of the Databricks Unity catalog, a cloud-based platform that offers a unified governance layer for enterprise data and AI. Our client has over 100 Databricks workspaces for deployments in the cloud and our project team is tasked with helping our clients develop a governance structure related around the instability, security posture and cost allocation of these workspaces. Our team of consultants is currently collaborating with Databricks and our clients' internal IT team to build automation to onboard these Databricks workspaces with ease and repeatability. Our pipeline of data and AI work continues to grow, and we look forward to supporting our clients as they focus on data preparation, developing use cases and ultimately implementing their own AI platforms.  Now let's turn to our Federal government segment, which provides mission-critical solutions to the Department of Defense, the Intelligence Community and Federal Civilian Agencies. Federal segment revenues for the first quarter were up solidly year-over-year. Contract backlog was $2.9 billion at the end of the first quarter or a coverage ratio of 2.2x the segment's trailing 12-month revenues. New contract awards were approximately $197.3 million, translating to a book-to-bill of 0.9x on a trailing 12-month basis. With the recent passage of the Federal budget, awards previously deferred by the continuing resolution are beginning to work their way through the procurement system. We have been in pursuit of new awards throughout the budgeting process and now hope that with the recent appropriations bill, our proposal submitted and awaiting award will begin to convert at a higher velocity. The recently passed Federal budget allocates funds to several key service areas in which our government teams have an established leadership presence, one of which is the area of cybersecurity.  In the first quarter, our Federal Government segment won a $120 million 5-year recomplete cybersecurity contract with the Department of Health and Human Services. Under this contract, our team will provide comprehensive advanced managed cybersecurity services, direct intelligence, analytics and data forensics to the centers for Medicare and Medicaid services and their health care marketplace. The newly approved Federal budget also allocates increased funds towards responsible AI applications. In addition to our growing AI presence on the commercial side of our business, our Federal government segment remains recognized as one of the U.S. government to leading AI contractors in both mission and enterprise IT. During the first quarter, our national security and intelligence business received additional funding to support the DoD in developing, deploying and integrating its Next-Gen AI capabilities.  We also won a new contract to support AI-enabled open source intelligence solutions for which our team will provide extensive training and program support. We continue to win contracts focused on digital transformation and emerging technology services. Leveraging more than 2 decades of experience as the leading Microsoft solutions partner in Azure. During the first quarter, we expanded our contract ceiling with the IRS to provide digital transformation services, IT operations, application management and engineering services. We also broadened our work with the Army's Program Executive Office for simulation, training and instrumentation. For this particular Army office, we provide full project life cycle services ranging from project management, modeling and simulation to emerging technology integration and logistics support.  With that, I will turn the call over to Marie to discuss the first quarter results and our second quarter 2020 forward guidance. 
Marie Perry: Thanks Ted. It's great to speak with everyone this afternoon. First quarter revenues of $1.05 billion were near the top end of our guidance range and reflects growth in our commercial consulting and Federal government business. Revenues from the Commercial segment were $731.5 million, down 12.1% compared to the prior year. Revenues from commercial consulting, the largest of our high-margin revenue stream totaled $277 million, up 2% year-over-year and up 3.2% sequentially. Revenues from our Federal government segment were $317.5 million, up 7% year-over-year.  Turning to margins. Gross margin for the first quarter of 2024 was 28.2%, down 70 basis points from the first quarter of last year due to a higher mix of revenues from our Federal government segment, which have a lower gross margin than commercial segment revenues. Gross margin for the Commercial segment was 32%, up 50 basis points year-over-year due to growth in our commercial consulting revenues. Gross margin for the Federal government segment was 19.7%, down 190 basis points year-over-year, primarily due to contract mix as well as a higher volume of firm fixed price projects that were ramping up in the prior year, creating a difficult comp. SG&A expense for the quarter was $210.2 million or 20% of revenues compared to $224.1 million or 19.9% of revenues in the prior year. SG&A expense also included $1.2 million in acquisition, integration and strategic planning expenses that were not included in our guidance estimates.  As expected, interest expense increased year-over-year related to rising interest rates and our refinancing this past August. Going forward, however, we will see a reduction in our interest expense. In mid-March, we successfully refinanced our Term Loan B. This refinancing closed on March 13 and was the first high-yield repricing of the year to price at SOFR plus 175 basis points, a 50 basis point reduction from our prior rate spread. As a result of this repricing, for the full year 2024, we anticipate cash interest savings of $1.1 million, net of transaction fees, followed by cash interest savings of approximately $2.5 million per year thereafter. For the quarter, net income was $38.1 million. Adjusted EBITDA was $108.3 million and adjusted EBITDA margin was 10.3%. Our adjusted EBITDA margin reflects the payroll tax reset, which occurs at the beginning of every calendar year and has an approximate 100 basis point downward impact as we move from the fourth to the first quarter. At quarter end, cash and cash equivalents were $158.4 million, and we had full availability under our $500 million senior secured revolver and our net leverage ratio was 1.7x.  Turning to our cash flow statement. Free cash flow for the quarter was $62.5 million. We deployed $79.7 million in cash to repurchase approximately 800,000 shares at an average price of $96.63 per share. Also, as Ted noted earlier, this week, our Board of Directors approved a new 2-year $750 million share repurchase plan, replacing and upsizing the prior $500 million optimization. We believe this increase in the size of our share repurchase program indicates our confidence and our continued ability to generate free cash flow. With solid free cash flow generation and full availability under our revolver, we have ample dry powder to make strategic acquisitions when the M&A market improves. In the meantime, we expect to continue to repurchase ASG and shares given their attractive valuation.  Turning to guidance. Our financial estimates for the second quarter of 2024 are set forth in our earnings release and supplemental materials. These estimates are based on current market conditions. Our estimate assumes 63.5 billable days in the second quarter, which is 0.25 billable days more than the year-ago period and 0.75 billable days more than Q1 of 2024. We expect market conditions and demand for our IT services in the second quarter to be similar to that of the first. In the commercial segment, we anticipate revenues will remain steady to Q1, while the Federal government segment revenues will be relatively consistent year-over-year. With this background, we are estimating revenues at $1.035 billion to $1.055 billion for the second quarter. We are estimating net income of $44.7 million to $48.3 million and adjusted EBITDA of $114 million to $119 million and adjusted EBITDA margin of 11% to 11.3%. Thank you.  I'll now turn the call back to Ted for some closing remarks. 
Theodore Hanson: Thanks, Marie. As is clear from today's discussion, our clients remain cautious with our IT spend as they look for more certainty in their business performance against a challenging macro backdrop. Nevertheless, we continue to proactively shape our operating model to be resilient in the current market as well as be ready for when IT spend accelerates. To ensure our service offerings and capabilities match the evolving needs of our clients and our industries, it's essential that we maintain a solid foundation of client support. With that in mind, I'm grateful to our entire team for your hard work and commitment over the past quarter. Your efforts are deeply appreciated. I am honored to be part of such a talented and client-focused team. Sourcing exceptional IT talent on a just-in-time basis is one of the many ways in which ASGN differentiates itself in the IT marketplace.  Our differentiated recruiting model that relies on contingent labor, onshore and Azure provides a scalable, flexible solution that sets ASGN apart from traditional consulting companies that rely on a permanent bench. Leveraging a contingent labor force enables us to tailor our offering and provide our clients across 6 diverse industry verticals with the exact skill sets pricing and industry-based talent they need, whether for a short-term data review project or a longer-term platform integration. A pivotal aspect of our model is that our contingent labor force flexes with revenue, acting as a stabilizer for gross margin if and when revenues soften. This, along with our variable SG&A cost structure allows us to deliver solid margins and cash flow. As is evident from our go-to-market strategy I just described, ASGN has the right building blocks in place.  That said and as Marie discussed, we do not anticipate the seasonal uptick we have historically seen in our revenues in the second quarter due in large part to the lack of ramp in IT spend and budget releases that we typically see during the first quarter. Nevertheless, our IT consulting pipeline is growing, bookings remain solid and the projects we are winning are longer in duration and more consultative. We have weathered many economic cycles throughout our company's history, and I'm confident that when IT spend begins to accelerate, our teams will be at the forefront to lead our clients to their next phases of technological innovation, productivity and growth. Thank you again for joining our first quarter 2024 call.  Operator, please open the call to questions. 
Operator: [Operator Instructions]. Our first question comes from the line of Trevor Romeo with William Blair. 
Trevor Romeo: First one, I was just wondering if you could maybe speak to demand trends throughout the quarter. It seemed like last quarter, the message was maybe a good degree of stability. I think as you said, you typically see a revenue uptick in Q2. It doesn't sound like that's likely at this point. So I was just wondering if you could comment on how demand and client conversations have evolved in the past few months and how that informs your outlook going forward. 
Theodore Hanson: In commercial, I would say it just remains steady. We're here from the third quarter into the fourth and now the fourth into the first adjusted for billing days and seasonality have just really seen , but I'll say just a steady trend, no real change in client tone or conversations and here in the first 3 weeks of the second quarter, more of the same. So it's a little out of the norm, if you will. There is typically some seasonality here, where when you move out of the first and into the second, your volumes are ramping up, but we don't see that right now. We just see a steadiness. On the Federal side, we had a really solid growth quarter in the first quarter. I think that we're hopefully here and now going to see our procurement officials begin to take an action on some of these things that we have as submitted weighting awards. And so while bookings were a little muted in the first quarter, we're hoping the pace of that will pick up here in the second and into the third. 
Trevor Romeo: And then just one on AI demand. I was just wondering for some of the foundational cloud data work even starting for clients trying to prep for AI. Have those projects evolved or changed in any way as they moved along? Have any of your clients move closer toward the use case stage there? Just trying to get a sense of how that demand trend could continue to drive new business for ASGN through the next several quarters. 
Randolph Blazer: I'll start. And Trevor, I like the way you worded the question because you have it exactly right. First of all, a lot of work going on in the cloud structures and the data side of the business. That continues. Those are among our highest solutions in terms of consulting and even in staffing that we place. The use case side of it is in discussion mode, contemplation, if you will, but not yet, I think, taking off. And I think that's just a question of them setting their governance policies, they're setting their data sets appropriately. They do have a mind of use cases and eventually because they're prepping the data in a way that would support that. So I think there's progress, but it's slow. And I'd say slow and steady, but nothing robust. We definitely, I think, had more AI engagements in the first quarter. There was one of those engagements featured in Ted script that he read to you a short while ago in one of our telecommunications clients. So that was a nice thing to see, but it's not of the scale that it would certainly outreach any of the work we're doing in cloud, data, cybersecurity, those areas. 
Operator: Our next question comes from the line of Surinder Thind with Jefferies. 
Surinder Thind: For the first question, can you maybe provide some color around the commercial consulting revenue growth that was quarter-over-quarter? Were there a few large projects that you started in the quarter? Because it looks like in the subsequent quarter that things are going to be relatively stable. So just trying to understand the trends within the commercial consulting segment. 
Theodore Hanson: Well, look, Surinder, if you go back, I think you're seeing consistent bookings in that unit. And while we're booking at 1.2, which would lead you to some growth rate, we're also seeing elongation of those projects. So there's a slower burn of those bookings. We also mentioned that it's more heavily weighted to renewals than it is to new work. And so I think clients continue on with mission-critical things that they were working on. And so that's why we see extensions of this work. But I think back to the original part of your question, was there any one big thing or 2 big things that got started here that were difference maker? No. 
Surinder Thind: And then maybe some additional color on the subsegments within the math contingent labor part of the business, maybe specifically like the assignment business versus Creative Circle in perm placement. 
Theodore Hanson: And specifically, how are they doing beyond the assignment revenue growth number we gave you or what --? 
Surinder Thind: Beyond the top line number in terms of just trying to understand trends, if there's things that maybe have started to maybe stabilize relative to last quarter? Just any additional color that you can provide that can help us understand where we are in the cycle. 
Theodore Hanson: I would say that they're stabilizing quarter-to-quarter here. I don't think that's totally new, but I think it continues. If you look at the foreign metrics for the business, they're not telling you there's some inflection here for a slope up, but performance week-to-week, month-to-month and throughout the first quarter and into the first piece of the second just tells you that, that assignment part of the business is steady as well. 
Operator: Our next question comes from the line of Jeff Silber with BMO Capital Markets. 
Unknown Analyst: This is Ryan on for Jeff. I was curious as we move throughout the year, aside from just the automatic stabilizers, what levers do you have to pull in terms of the margin defense? And how does that really relate with the negative mix element of the Federal government strength in coming quarters? 
Theodore Hanson: I think on the last piece of that, as long as we're growing in Federal and not growing in commercial, you're going to see the effect of business mix play out. If you think about levers to the first part of your question that we have to pull, look, I mean our business model is mostly a variable cost model. So more than 80% of our SG&A is in compensation, incentives, commissions, bonuses, those type of things. So not only are we not dealing with a big bench on the gross margin side and its revenues move the cost of goods, their cost of sales is moving and resetting itself, we're also seeing lower incentives and natural attrition. And this will continue to be the levers that play out the year if we see something different for now, things are kind of stable. So I would say we're letting attrition work. We're backfilling it in certain areas where we see demand, other areas that don't have demand, we may not be replacing those resources, and it just continues to be a week-to-week thing that we monitor. 
Unknown Analyst: And just a follow-up. It seems like some of the larger IT service providers have started to see a leg down and a little bit more weakness over the last couple of months. It seems like your consulting business is relatively stable. Is there anything you'd like to call out on that divergence there between the 2? 
Theodore Hanson: Well, look, as it relates to our offering versus theirs,  I think you've heard me say many times before, a real productive way for clients to continue to get really critical projects and initiatives done and to keep their spend at a lower rate than maybe some of the big traditional consulting firms. So I think you're seeing that play out here. Now I will tell you, I think there's a lead lag here, while the assignment business was the first and the fastest to fall during the quarters in '23 until it count some stability in the latter part of '23, you've seen the consulting trail that, not just for us but for the peer group as well. And I think that's natural, we did say to expect that. So I'll go back and just say we have a very capable high-end solution for the client in these areas that are most critical and important to them. We come at a very productive price point in order to get these things done. And so they're pulling our lever, if you will, in order to stay with it. And I think that's what you can see playing out in the numbers. 
Randolph Blazer: Ted is it worth mentioning also, Ryan, that we're not overweighed in any one industry. So sometimes other consulting businesses are heavily weighted in 1 or 2 industries. We're pretty much spread across the 6 industries we talked to you about. And I thought that helps us as well. There are certain industries that still aren't up in spending in the IT area. And while we're affected by that as well as some of the others, they may be more weighted in those industries. 
Operator: Our next question comes from the line of Kevin McVeigh with UBS. 
Kevin McVeigh: And congratulations on the buyback. I wonder, I know it's over 2 years, any sense of the sequencing on the buyback? And if I heard the comments earlier, it sounds like maybe the M&A market isn't as appealing as you thought. Any thoughts around that, just again, sequencing on the buyback? And then I think it replaced 750. So can you help us just rather replace the $500 million? So what was the net step up? So was it in the $750 million it is today? So there's a couple of questions in that. 
Marie Perry: To your point, the original authorization was $500 million, and we are replacing that with $750 million, it's for a 2-year period. But what was your question really Mc? 
Kevin McVeigh: We have to down about $177 million. And so the $750 million replaced about [Indiscernible]? 
Marie Perry: And our intention is always to have at least a year, if not more, of authorization on the book. So typically, you would see us some at this time, increase it. To your point, we actually did increase it higher than what we typically would do. 
Kevin McVeigh: And then just in terms of the lack of normal seasonal uptick, did you expect that going into the year? Or is that something new? And is that the macro? Or is that a function of anything that drove that? 
Theodore Hanson: And you're saying the uptick, Kevin, and what? 
Kevin McVeigh: You said if I heard you right, normally, you see some seasonal uptick in the Q2, and that hasn't surfaced yet. Is that the macro? Or is there anything else driving that right now? 
Theodore Hanson: No, I think it's a macro, Kevin. Look, you know this, when you come across the holidays, you reset as naturally as projects end and things get restarted. You start out in the first couple of weeks of January, the lower level of volumes that maybe finished at before the holidays in December. And you spent January recouping that volume through the end of the quarter. And by the time you get to the second quarter, you're moving on to surpass where you were and grow higher. I think what you're seeing here is just the steadiness and not that normal seasonal trend because the client is not back to any acceleration in IT spending. My take in [indiscernible] is that they have budgets to spend, but they're holding them very tight and close. They're trying to gain confidence in their own business performance and where interest rates are headed and what does that mean for their business and the outlook here as we go. So this is all a macro issue. Certainly, the underpinnings for spending more on IT are there. Everybody's had a start line ready to go. And I think we're just a little bit of a waiting game here as we watch those things on the macro play out. 
Kevin McVeigh: And just one more if I could. Can you dimensionalize how much of the work's been Gen AI related, whether it's through bookings or what percentage of the revenue? I know it's still relatively little early, but just any way to think about how much the scope of work has been Gen AI? 
Theodore Hanson: Very little. We see conversation activity. We see some bookings of small projects to get started in conversations or look at data or think about where does it need to be in the cloud, those kind of things. But while there's  a lot of conversation going on around that stuff, Kevin, there's no real material spend going. We have bookings around that. It's growing very fast, but it's a very small number. And I think that the real push on that is yet to come which is a good thing.  I think this is not a false promise. This is just everybody getting teed up and ready to go. 
Operator: Our next question comes from the line of Heather Balsky with Bank of America. 
Heather Balsky: I'm just curious, especially on the back of the question about buybacks. And as you think of use of cash near term and also for the midterm, how are you thinking about your M&A strategy, especially given that some of the challenges in the environment that are still out there, what does your pipeline look like? And where would you want to fill in your portfolio? 
Theodore Hanson: Well, look, Heather,  we still believe M&A is the highest and best return on capital when we deploy it the way we do strategic tuck-ins that bring capabilities into our business that are very important to our clients and we can pull across this account portfolio is really the name of the game. There are certain areas where we can organically build capability, and we're doing that. There are other places where we're better off making an acquisition. Our acquisition of GlideFast in the ServiceNow area to become a premier North American partner is a great example of that. And I think when we go through that exercise; we have a lot of confidence by the time we get to the decision point because we have really good insights into what our clients are thinking about what's in their pipeline in terms of work to get done. And so we can, if you will, work backwards from that, and we measure and know that we have certain opportunities that we could immediately begin to sell. So that is the premise that remains the premise, and it will remain important as we go forward.  I think we're in a moment here where, especially in the commercial market, where you're just not seeing many, if any real quality assets come to market. And it's for all kinds of reasons. There's a pause here in IT spending to a large degree. I think these companies are able to hang on here for a little while longer. They're not willing to reset their expectations down in terms of valuation with maybe where market valuations are. It's not just one thing. It's a combination of all those things, if you will. So in the meantime, as Marie mentioned, resetting our share repurchases authorization. And we sized it like we normally do. We looked out 2 years. It's about 2 years' worth of free cash flow. And right now, our head is to -- while there's not any meaningful M&A opportunities to continue to dedicate quarterly free cash flow to repurchase is because this is a very attractive valuation point. And so more of the same, if you will, from where we've been in the last few quarters. 
Operator: Our next question comes from the line of Tobey Sommer with Truist Securities. 
Tobey Sommer: If you look at forecasting the business, for example, your guidance or sort it's easier or harder than it was 3 or 6 months ago? And maybe could you comment across the business segments in that regard? 
Theodore Hanson: Well, look, Tobey, I wouldn't say it's any more difficult I'm looking around the room here than it was 3 or 6 months ago. If you go back several years ago, when we didn't have as large a footprint in consulting I would say it was a little more difficult to forecast because on the IT staffing side of the business, that comes in shorter increments, volumes could kind of quickly move up and down on you. But in consulting, when you win a booking and commercial, you're going to work it over the next 12 to 18 months; you have really good certainty in that. And in federal, you have really good certainty when you win things that you're going to be working in for the next 5 years.  So I think over the long haul, forecasting of the business has improved. We've gotten better visibility and transparency. We have more confidence in the bookings that are in our backlog. And so that's played itself out. I would say in the last 2 or 3 quarters hasn't been too much change. I mean we've gotten a little more in one area than we expected or a little less in commercial. And Federal has played out about like we thought. And really the only variable there, sometimes we get a few million more in maybe licenses that are part of our solution that we expected one quarter and it came in another. But that's just incremental stuff around the edges, if you will. 
Tobey Sommer: With respect to the commercial IT consumer, what is the mix of full-time versus flexible labor stand today? And how does that compare choose 1 or 2 reference points from the past maybe and let us know where you sit today because one of the strategies of the company to lean more heavily on flexible in the way you are. 
Theodore Hanson: So we've pretty consistently seen as said that of the projects that we're working within our commercial consulting business, about 80% to 85% of it is contingent IT labor from our IT staffing capabilities at about 15 to 20 at any one time is subject matter expertise with industry experience that we have in-house plus our nearshore delivery center in Guadalajara, Mexico. 
Tobey Sommer: And I wanted to follow up on the capital allocation question in share repurchase. It is just down to the lethargic IT spending environment, it doesn't last too much longer, meaning more than quarters more. How do you guys go through the analysis of husbanding a little cash to have more dry powder to make acquisitions a consequence when the market is more subtle? And you announced share repurchase is not a commitment to repurchase that stock, and you could slow it down if the environment improves and you see those opportunities, can you speak to that a little? 
Theodore Hanson: I think that last part is the key, Tobey. When we see the pipeline still with M&A opportunities to evaluate, we've got plenty of time to toggle what we're doing on a share repurchase standpoint. And also, if you've noticed, although we desire to spend a quarter of free cash flow, except in the last quarter, we've had a hard time getting there, if you will, just because we're purchasing in a very programmatic way. So we've been building some cash on the balance sheet. The last piece here is we've got plenty of room for leverage in order to bulk up and do a, what I'll say, a much more sizable acquisition. We've got great support from our banking partners. And I think if you look at our net leverage, which is now about 177, we have many times in the past, levered up to about 3.8x total debt to EBITDA in order to get an acquisition done.  And so that leaves ship with about 2 turns beyond beyond where we are now, and that's really without even counting their EBITDA that they might contribute. So I think we've got the firepower here to do anything that we feel we need to do. And we would like to do acquisitions that still fit the same pattern that we've been doing in terms of capabilities that we can pull across our current account portfolio. But if it were a little bit larger scale, that would be a good thing. 
Operator: Our next question comes from the line of Mark Marcon with Baird. 
Mark Marcon: So Ted and Rand, I'm curious, when you talk to your clients, and we're hearing the same consistent message across the space about the budgets are there, but they're still waiting. It probably varies by client and by specific elements. But are you getting a sense for exactly what they're waiting for? Is it something that's specific to their company and the ceiling like level of confidence that they're going to make their budget forecast? Is it something from a macro perspective in terms of interest rates? Is there a concern that, hey, we haven't had a recession yet, but we've got an inverted yield curve, so perhaps that could occur? I'm just wondering what the trigger would be that would lead to some improvement with regards to the confidence to spend. 
Randolph Blazer: Let me start. First of all, very senior clients, we typically avoid the conversation because they're not going to say anything anyway. But when you get down in the trenches to the technical managers who are assigned responsibility for these projects, we do hear a lot of our clients saying we're going to open up and they'll lay out a date in the third quarter or at the end of the year or this is important. We're going to move on this, but we're going to chunk it up a little bit and go slow, which we've said in the past. So at the technical manager at the execution level, there is a sense of in that population that there is a day coming when they're going to have more latitude, but there's no reason given for why that is. I mean, look, we know what we have booked. We know what the projects that are in play are how they're playing out, if you will, even if they're stretching out or slowing down.  We do know what their IT initiatives are that they want to get done that they have stacked up in their budget once money gets released. And this is Federal or commercial. What we don't know is the Federal procurement officials are very slow at getting money out. I'm not sure why. Is that something coming from high on in the administration? Is that coming because of continued resolution? Is it coming because they're worried about having to save or reposition money to foreign countries? I don't know. On the commercial side, you can go through the same thing, what that buyer behavior that trigger don't know what comes down, but we do get a sense that they're coming, okay? It's coming. 
Theodore Hanson: As one of those people who's watching this and moderating our own IT spend Mark, I would say all 3 matter. I think as we have an ambition to invest harder in our own IT. We're certainly going at the most critical things. But we're worried about where the economy may be going for all the reasons that you just said. We're worried about our bottom line and that we do a good job of finding a balance here in terms of continuing to invest versus performing at a level we would expect to on the bottom line. And so I think all 3 of the things that you said matter. 
Mark Marcon: And then one thing that was really interesting was the discussion around the Databricks project that you had for a large oil and gas company. Can you talk a little bit about like what sort of premium pricing you're able to get? How attractive are those -- we're obviously hearing a lot about those sorts of things just starting up. I'm wondering how big that sort of practice could end up becoming. 
Randolph Blazer: Mark, I think, if you look at our things we've talked about over the past year, we've made a hefty play with ServiceNow with Databricks technology, Snowflake, certainly the cloud providers, both Microsoft and Amazon and Google and Salesforce. So we're watching those technologies. They seem to be the hottest technologies. We want to be in a position to support them in certain industries where money is flowing or maybe it's by necessity like health care. We reported that our health care business is doing fine quarter after quarter after quarter. Well, some of that is they need the technology. These are technologies that play in their world, and part of it is because the baby boomers are easy. And are putting up greater demand on our health care system. So you can see certain things unfolding.  It's interesting that we see telecommunications and we know what they're going through between the cable fight and the streaming services and how they're positioning for greater volume. There's work there. There's work in which the streaming services have to be in a position to pick up at huge volumes with certain pricing. And Ted and I have even commented that technology and telecommunications led us into this problem over a year ago, and now they seem to be coming out of it a little bit. And we've mentioned them, featured them in our tech. So banks different question is a different story. So Mark, I'm just trying to give you some sense of what we're watching, same as everybody else. And these technologies, we know are critically important to the whole data structure and to the mapping of data to potential use cases in AI, which is the game. That's the game right now. 
Mark Marcon: And then you did mention earlier in the discussion that consulting follows some of the trends that you see on the assignment side. Obviously, assignment is still tough. Given the momentum that you have there, the way that you're reconfiguring things, your relationships, you wouldn't anticipate that consulting would actually end up declining at some point this year, would you? 
Theodore Hanson: Well, look, Mark, we're growing in low single digits. Could that vary in a quarter to flat or slightly negative? I wouldn't promise that it couldn't, but our bookings trend does not tell us that it's going to really have significant year-over-year declines. And so I think you have to rely on that and we do rely on that bookings number because that gives us really good visibility into that work that's going to be completed over the next 12 to 18 months. Could something happen in the world where they really don't just slow it down, but they really slow it down and then ramp it back up, well, sure. But there's no indication of that right now. 
Randolph Blazer: Ted, and Mark, is it worth mentioning, Ted has said many times in the past year, 1.5 years, the first to go is perm placement. The second to go or discretionary spend around things like creative, HR, that sort of thing. The next to go would be IT staffing. The last thing to go would be IT consulting. Well, if you think about what's going to happen as we start seeing the world come out of it, you're probably going to see the reverse of that. You'll start seeing IT consulting going up, then all work equated staffing, then ultimately to the discretionary areas and to perm placement. If you believe that's the way it unfolds going down, it presumably reverses that when we're going back up. So that's another evidence besides bookings, as Ted mentioned, that gives us confidence in the consulting side. 
Operator: And we have reached the end of the question-and-answer session.  I'll now turn the call back over to Ted Hanson for closing remarks. 
Theodore Hanson: Great. Well, I want to thank everyone for being here this evening for our quarter 1 earnings release and conversation. We look forward to speaking with you soon about quarter 2. Have a great evening. 
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.